Operator: Hello, everyone, and welcome to Just Eat Takeaway.com Fiscal Year 2024 Results Call. Please note this call is being recorded. After the speaker’s prepared remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. I’d now hand over the call to Jitse Groen, Chief Executive Officer. You may now to begin.
Jitse Groen: Thank you, operator. Good morning, everybody and welcome to this analyst and investor conference call. My name is Jitse Groen. I am the Founder and Chief Executive Officer of Just Eat Takeaway.com. And I am joined here by Jorg Gerbig, our COO; Mayte Oosterveld, our CFO; and Andrew Kenny, our CCO. Today, along with our 2024 full year results, we are delighted to announce that we have reached an agreement on the recommended public offer by Prosus for issuing an outstanding shares in the capital of Just Eat Takeaway.com. On our corporate website, you can download our press release and the slides for this analyst and investor conference call. Before we get started, I want to thank you all for the time, investment and support over the years. Since launching in 2000, we have significantly grown the company both organically and through M&A to become a leading global on-demand food delivery platform. I am very proud of what we have created and we are excited to be embarking on this next step of the journey through a combination with Prosus, a leading European technology company sharing many of our values and whose culture, we respect. We will briefly walk you through several pages and then shift to answering your questions. Regarding the question-and-answer session, as a reminder we would request that each analyst ask one question only. Please follow me to Slide 4. On the transaction, Just Eat Takeaway.com and Prosus have reached agreement on a recommended €20.30 per share, all cash offer by Prosus for all issued and outstanding shares in the capital of Just Eat Takeaway.com. This represents an attractive cash premium of 63% to Just Eat Takeaway.com's closing share price on 21 February 2025. The offer values 100% of the shares at approximately €4.1 billion. Just Eat Takeaway.com will be well-positioned to strengthen its brands and also operations and drive future growth well beyond the standalone potential with Prosus' investment, technology, and fast sector expertise. Just Eat Takeaway.com and Prosus have also agreed to a robust set of non-financial covenants. Our management board and supervisory board unanimously support the offer and I and other board members holding a combined 8.1% of the shares have provided irrevocable undertakings in relation to the offer. As I mentioned the offer of €20.30 in cash per share represent a premium of 63% to the company's closing share price on 21 February 2025 and a 49% premium to the three-month VWAP prior to announcement. Our boards believe that Prosus has made a compelling offer which represents an attractive cash premium to our shareholders, favorable non-financial covenants and commitments in respect of deal certainty. If a bona fide third party makes an offer which in the reasonable opinion of the boards is more beneficial than the current offer and this exceeds the consideration by 10% Just Eat Takeaway.com can terminate the current agreement unless Prosus matches such superior offer. If the merger agreement is terminated in the event Just Eat Takeaway.com agrees to a superior offer or because of an adverse board recommendation change Just Eat Takeaway.com shall pay Prosus an amount of €41 million. If the merger agreement is terminated in the event regulatory clearances are not obtained Prosus shall pay the company an amount of up to €410 million. On Slide 6, we have summarized the strategic rationale. Since our launch in 2000, we have significantly grown our business both organically and through M&A to become a leading global on-demand food delivery company. Our objective has been to build and extend large-scale and sustainably profitable positions in our countries enhancing propositions to consumers in collaboration with our partners. After having recently streamlined the portfolio by divesting our US assets to sharpen our focus on core positions we are now transitioning from a period of portfolio optimization and the drive for efficiency to a new phase of growth acceleration and platform investments. As a leading global food delivery investor and operator with a proven track record in successfully scaling e-commerce platforms, Prosus is well positioned to invest in and accelerate growth at Just Eat Takeaway.com to unlock value well beyond its standalone potential. Transaction provides an opportunity to couple Prosus' investment expertise, tech and AI capabilities, and innovation mindset with Just Eat Takeaway.com's brand strength and solid fundamentals. We will now move to the full year 2024 results. On Slide 8, our key messages are: that we have met our guidance for 2024 with constant currency GTV growth excluding North America of 2%, adjusted EBITDA of €460 million and a free cash flow amounting to €104 million; that excluding Grubhub, our full year adjusted EBITDA was €313 million and we generated a free cash flow of €101 million; that following the sale of Grubhub, 85% of GTV was from our growing and profitable Europe and UK and Ireland segments; and that we are increasing investment in Europe and the UK and Ireland to further accelerate growth. And lastly that we issue guidance for 2025 for GTV growth adjusted EBITDA and free cash flow. Please follow me to Slide 10 where we summarize the 2024 guidance. We've met our guidance for the year and on the following slides I will quickly take you through the three items individually. Turning to Slide 11, our GTV grew 2% year-on-year in constant currency for the group excluding North America in line with the 2024 guided range. GTV for the group amounted to €26.3 billion in 2024 which is down 2% compared with last year or minus 1% reported. Moving to the next slide, on the left hand side you can see that the adjusted EBITDA for the group was €460 million in 2024 which is a €121 million improvement compared with 2023. The adjusted EBITDA margin as percentage of GTV for the group further improved to 1.7%. On the right hand side, our free cash flow before changes in working capital is provided. Mayte will provide more details in her section of this presentation but I would like to point out that mainly driven by the increased adjusted EBITDA, we significantly improved free cash flow and generated €104 million in 2024, up €156 million compared with last year. Moving to Slide 13. We've completed the rollout of our single global app across all target markets. This new app substantially improves the user experience, accelerates innovation, and significantly improves speed-to-market of exciting new product features like the Jet+ free delivery proposition, group ordering functionality and AI assistant and those were all launched last year. We continue to make progress in the choice we offer to consumers adding a huge variety of new partners to offer the widest possible selection for consumers anytime and anywhere. 2024 was a strong year for new partner acquisition increasing the overall number of partners by 10% including further expansion in new verticals such as grocery, electronics, and pharmacy with online retailers up 48% compared with a year ago. On the next slide we show that the combination of portfolio action and structural cost reductions have put the business on a stronger footing. In January, we completed the Grubhub sale to Wonder Group following the sale of our US operations Just Eat Takeaway.com has become a more focused business. Following comprehensive business reviews and in line with our disciplined portfolio management approach we ceased operations in New Zealand and France in 2024. On the right hand side, we have kicked off a transformation of the cost base with several major initiatives. We have made changes to a number of teams across multiple countries as part of our mission to fuel sustainable growth for the future. While decisions like these are never easy it is a necessary step we have needed to make to ensure we have the right resources and organizational structure in place to drive sustainable growth and enhance operational efficiencies. In addition, we made a meaningful progress in our delivery efficiency to reduce delivery cost per order with the simplification of our delivery operation and further improvement in order pooling through new algorithms. Moving to our revised reporting on the operating segments. Following the completion of the sale of Grubhub in January, we have reassessed the operating segmentation to better align with how we intend to run operations internally. In fact retrospectively from 1 January 2025, we will report in the following three regional segments. Europe which is comprised of Austria, Belgium, Bulgaria, Denmark, Germany, Italy, Luxembourg, Poland, Slovakia, Spain, Switzerland and the Netherlands; UK and Ireland, which is unchanged to our previous segmentation; and Rest of the World which consists of Australia, Canada and Israel. 85% of the GTV comes from our Europe and UK and Ireland segments. If you follow me to Slide 16 you'll see these two segments are both growing and profitable. In the appendix of this presentation, we have included the historical KPIs based on the new segmentation which will help you in updating your financial models. Please turn to the next slide. After having significantly improved the profitability of the business in the past years we are now focused on accelerating the growth pace of the business on the back of increased investments. Funded through cost efficiencies and retail media and pricing we will invest an additional €150 million in Europe, and the UK and Ireland in 2025 to drive growth in the coming years. We have four key opportunity areas to accelerate this investment. The first one is to expand logistics coverage. Our aim is to be able to deliver whatever, wherever, whenever enabled through our extensive logistics network. With hundreds of thousands of couriers delivering on our behalf, we will further strengthen our logistics coverage by expanding delivery zones, entering new cities and extending opening hours. We will grow supply and new verticals by further enhancing our grocery proposition and we will continue to expand our choice in adjacent retail categories including pet care, pharmaceuticals, flowers and entertainment. We will also accelerate marketing, pricing and promotion and our aim is to continue to provide the best value to our consumers and partners. We will focus on offering great value through targeted marketing, pricing and promotional initiatives whether that be through free delivery and stamp cards or partner funded campaigns. We will develop and scale loyalty and subscription. We have successfully launched a new Just Eat+ loyalty program in December to enhance our customer value proposition. It will deliver value to our consumers while it will also improve in performance in terms of consumer retention and order frequency. Just Eat+ is our new subscription offering providing free delivery along with additional savings and exclusive deals, delivering more value than just free delivery. Our unified platform will enable each of the areas through accelerated underlying tech capabilities and enhanced product experience. And with that, I hand over to Mayte for the financial results.
Mayte Oosterveld : Thank you, Jitse, and good morning to everyone. Before I share the financial results I want to explain that you will have noticed that we published unaudited financials today because we brought our financial information up forward by two days. We expect to issue full audited financials and the full Annual Report this Wednesday where you will receive more detail and IFRS reconciliation. In this next section I will focus on the company excluding Grubhub. Please follow me to Slide 20 where I take you through our financials excluding Grubhub. Total revenue in 2024 was €3.5 billion which was stable compared to 2023. But more importantly, we made further significant improvements in our revenue less order fulfillment cost per order which increased by 10% in 2024 compared with last year, mainly driven by delivery model simplifications. This was a key driver of the improvements in adjusted EBITDA which grew 28% year-on-year to €313 million. As a percentage of GTV the adjusted EBITDA margin improved to 1.7%. Moving to Slide 21. On the next slide we bridge adjusted EBITDA to free cash flow excluding Grubhub with the largest drivers being our capital expenditure, leases and cash taxes. As you can see excluding Grubhub we had net interest income. Overall we significantly improved our free cash flow before changes in working capital to €101 million. On Slide 22 we bridge cash balance from year end 2023 to full year 2024. Cash and cash equivalents amounted to €1.3 billion at 31 December 2024 in comparison to €1.7 billion at 31 December 2023. As you can see the decrease in cash position was the result of the repayment of borrowings and the share buyback programs. Before the repayment of convertible bonds of €250 million and cash outflow in relations to the share buyback programs of €203 million, cash flow was positive €30 million in 2024. On Slide 23 some more information about the combined share buyback programs which were launched in the past two years. On this slide we summarize the combined results of these three share buyback programs that have been launched in the prior two years. So far we have repurchased 33.5 million shares at an average share price of €13.34 totaling €447 million. As part of today's announced offer we will pause our current share buyback program where there was only €3 million left. Turning to Slide 24 where we see our cash balance and debt maturity profile. We remain well financed and this strength allows us to make balanced investments into the business as well as decisions on our capital structure. Let me then finalize on Page 25 before I get to the guidance. On this page we provide a table to bridge from adjusted EBITDA to free cash flow. We expect free cash flow before working capital to be broadly stable in 2025 versus 2024 at approximately €100 million. The higher expected adjusted EBITDA is offset by higher cash taxes and an elevated level of non-recurring items. We remain disciplined in managing our spend and maximizing income and items which sit below adjusted EBITDA in the P&L. And then finally moving to the slide where we issue our guidance for 2025. We expect constant currency GTV growth excluding Rest of World segments to be in the range of 4% to 8% year-over-year. We expect to deliver an adjusted EBITDA in the range of €360 to €380 million. We expect free cash flow before changes in working capital of approximately €100 million. And we confirm our long-term target of the group of adjusted EBITDA margin in excess of 5% GTV. And with that I hand it back to Jitse for the conclusion of this presentation.
Jitse Groen: Thank you, Mayte. I will continue with the wrap-up of this presentation on Slide 28. To summarize, our key messages were, that we have met our guidance for 2024 with constant currency GTV growth excluding North America of 2%; adjusted EBITDA of €460 million; and a free cash flow amounting to €104 million. Excluding Grubhub, our full year adjusted EBITDA was €313 million and we generated a free cash flow of €101 million. Following the sale of Grubhub, 85% of our GTV comes from our growing and profitable Europe and the UK and Ireland segments. We are also investing an additional €150 million in Europe and the UK and Ireland to further accelerate growth. Lastly, we have guided for 2025. And with that, operator, I would like to open the call for questions.
Operator: I'm now opening the floor for question-and-answer session. [Operator Instructions] Your first question comes from Andrew Ross from Barclays. Your line is now open.
Andrew Ross : Great. Good morning, everyone. Thank you for taking my question. I wanted to ask about the market share both in the UK and Ireland and also in Germany. I guess it's the biggest country within Northern Europe during Q4. Can you just help us to understand kind of what's happening with market share in those regions and then how that kind of plays into your decision to invest more in 2025? Because it certainly looks as though versus your listed competitor, you've lost a little bit of share in Q4. In the UK, we also have less data in Germany and the rest of Northern Europe, would be curious on your take in terms of what's happening with share. Thank you.
Jitse Groen : Yeah, it's a very good question. Thank you. I think overall in continental Europe, despite the economical back to Brexit, quite satisfied with our share development and the competitive levels and the way we react to it. We have quite extensive programs specifically focused on the cities that are a bit more competitive for us in terms of investment in supply, in terms of investment in marketing and that sort of business. And we've seen a significant step up in investments this year based on cost reductions that we've made that we also just shown to you in the presentation. The situation in the UK is that it is more competitive. We've seen a lot of vouchering in that market. We're not particular fans of vouchering. We believe it drives shorter market share growth and not long term. But it's very clear that the UK is more competitive than continental Europe and we need to step up our investments, which we will do this year, as you've seen.
Operator: Your next question comes from Marc Hesselink from ING. Your line is now open.
Marc Hesselink : Yes, thank you. Firstly, on the question combined with Prosus, I think one of the strategies or rationales behind it, is that you can move faster if you are together. So, can you please explain that what are the things that really will step up when you move together? The second thing is, maybe I've missed it in all the documents, quite a lot to digest, but will the management stay on post the closure of the deal? Are there any commitments on that?
Jitse Groen : Yeah, thank you. To the last question, yeah, absolutely. The management will stay on. There will not be any changes, also not in the top management of the business, including the [exco]. And Prosus is actually fully aligned with the strategy. Now, to your first question, what can we do together that we can't currently do? I think we need to take a step back to what done last year. We have tremendously increased our offering. We have invested in our proposition, in our technology. We've invested significant amounts of marketing. We specifically stepped up marketing in the more competitive regions. But against the backdrop of Europe and the economies in Europe stagnating, restaurant sector actually being down in most countries, we only got a couple of percent of growth out of that in most European countries, which we don't believe is enough. We want to be a fast growing business. And therefore, we're also stepping up investments on a standalone basis this year. That's the €150 million that we have made available to ourselves to invest specifically and most of all in the UK and Germany. I think apart from that, obviously, we can accelerate our growth further. There's quite some opportunity in our business still. 35% of the UK orders with us, but we believe that that should be a higher chunk of the population. The order frequency in Europe is still quite low. This is also, of course, where Prosus sees the benefits from an acquisition. Order frequencies in Europe are much lower than the Middle East, but also Brazil, other parts of the world. And actually, by investing in more supply, by investing in a better user proposition, you can actually increase that. Now, in the public markets, that's, of course, a limit to what we can do. We need to grow our EBITDA, we need to grow our business fast. And I think in a private setting, you'll be able to make more significant investments in markets in which we're already very strong. I guess that's the appeal also to Prosus. We're a very strong business in most of the European markets. And therefore, if you invest more money into that, that should, of course, increase the growth base.
Marc Hesselink : Good to hear. Thank you.
Jitse Groen : Thanks.
Operator: Your next question comes from Monique Pollard from Citigroup. Your line is now open.
Monique Pollard: Hi. Good morning. Thank you for taking my question. Two for me, please. Firstly, on Spain, I just wondered if you had any comments. I know it's very early days, but any early signs you're seeing in Spain of changes in the competitive dynamic from a major competitor moving over to the employed model, which you've obviously had there the whole time? And then secondly, I'm just interested in your comments about the potential for increased order frequency in Europe and Prosus seeing that as part of the rationale for the deal. I would assume that to get materially higher order frequencies in Europe, you need to be able to lower basket sizes to the point where you must at least have expanded the term. Is that part of the long term investment strategy there? Thank you.
Jitse Groen : Yeah, thank you. So first on Spain, there's very little change in Spain. We think that our competitor has employed zero people thus far. So I don't think there's actually a change in local dynamics yet. So we're still waiting for them to make those changes. Then the question around the order growth in Europe, well, no, it's not about lower basket sizes. It's about more supply and a better service. You could see, obviously, that if we invest more money into our subscription program, that also that will increase growth. So certainly not about lower basket sizes, but our ambition is to deliver everything that people need. And that could include lower basket sizes. But typically, we see that the basket sizes, whether its grocery or food delivery, that's roughly the same baskets. If you look at electronics, obviously, it's higher. If you look at perfume, it's higher. So I don't think it's per se lower basket sizes.
Monique Pollard: Thank you.
Jitse Groen : Thank you.
Operator: Your next question comes from Giles Thorne from Jefferies. Your line is now open. Thank you.
Giles Thorne : I just wanted to pick up on the non-financial covenants that have been signed. I'm assuming they exist because there were points of difference between yourselves and Prosus on certain aspects of the business. So specifically on strategy, it'd be interesting to hear what the points of difference with Prosus were. That was it. Thank you.
Jitse Groen : I don't think there is differences with Prosus. Prosus has agreed to run the company as is. That's also in the non-financial covenants. You can look them up. So I don't think there is differences there. I think that certainly they have different insights. They operate more food delivery businesses across the globe. But that goes to two ways. We have certain assets that are actually going to be quite helpful to Prosus in Brazil and the other way around. So it's going to be an interesting dynamic. I don't believe there's much light between how Prosus believes the business should be run and how we believe the business should be run. And I need to point out that Fabricio obviously comes from iFood. So Fabricio understands our type of business very well. And even the composition of iFood, which is also a very large marketplace business and a very large logistics business, just like our businesses, is actually quite similar. So I think actually the strategy will be very much aligned.
Giles Thorne : Great. Thank you.
Jitse Groen : Thank you.
Operator: Next question comes from Chris Johnen from HSBC. Your line is now open.
Chris Johnen: Yes. Hi. Thanks for taking my questions. First on Spain, is it possible to get a bit of color on the lawsuit you filed against Delivery Hero, just trying to understand the angle, level of conviction? And then a second question, short one, I guess, on Australia and Canada. If there is anything, are there any active talks at the moment? Thank you.
Jitse Groen : Yeah. Regarding Spain, we have indeed filed a lawsuit. That was before the -- obviously, they announced that they would change their model, which they haven't done this far, but they've announced that actually a couple of days after we filed the court case. Our claim in Spain is that because of the unlawful competition, they have been able to invest more money into that market than normally would have been possible, and that has damaged our business in Spain. So that is the claim. We obviously filed the claim because that behavior needs to stop. You know, the law is the law. So everybody in the country should adhere to the law, including our competitors. Regarding Australia and Canada, there's no change in our opinion about those markets. Now, obviously, most of our investments in the past year have been going into Europe. This is also, of course, a constraint of the public markets. If you don't grow in a market, it's difficult to invest behind it. And we'll see what's possible with Prosus but there will be no short-term change there.
Chris Johnen: Very clear. Thank you.
Operator: Next question comes from Wim Gille from ABN AMRO. Your line is now open.
Wim Gille : Thank you very much. I have a first question, which is about the non-financial covenants. In the non-financial covenants, it also clearly states that there is an agreement on the minority shareholders in association with this particular sentence. Can you confirm if the current management board of Just Eat Takeaway will own any shares, assuming that the bid will be successful in MIH Bidco Holdings after the close of the deal? And the second question I have is based on what your, let's say, lawyers are telling you, are there any regulatory hurdles or regions where there might be some scrutiny from regulators on a potential offer from process? Thank you.
Mayte Oosterveld : Hi. Thanks, Wim. Let me take that. I think, as Jitse already mentioned and is in the press release, there are irrevocables of all the management board members in relation to this transaction. So we will be tendering our shares. The non-financial covenant that you found on the minority shareholders, as you've seen, we have a back-end structure and we also have some other elements in the transaction by which it could be possible that we, at least temporarily, would have some minority shareholders. And then on the regulatory clearance, I think we are comfortable and confident about that process. We think this is a pro-competitive transaction in the interest of the broader European technology space and we're confident about that process and we'll see whether the regulator agrees with us on that.
Wim Gille : Thank you very much.
Operator: The next question comes from Annick Maas from Bernstein. Your line is now open.
Annick Maas : Good morning. My first question is on the €150 million investments that you plan to do in Europe and the UK. Can you just give us an idea of the split or is it 50-50 split for the coming year? And my second one is on the 12.5 times EBITDA multiple that you quote. Can I confirm that this is including the Grub cash? Thank you.
Mayte Oosterveld: I think on the on the latter, no, I think if you're referring to the multiple that the Prosus has put out, that is based on EBITDA excluding Grubhub.
Annick Maas : Thank you.
Operator: Your next question comes from Marc Diebel from JP Morgan. Your line is now open.
Marcus Diebel: Hi, everyone. Jitse, congratulations on this deal, fantastic.
Jitse Groen : Thanks.
Marcus Diebel: I have one question in regard to M&A. Does it actually mean that kind of like hopes for further disposal? Is there any difference in thinking? I mean, clearly now, you have a very strong partner in the business, doesn't change anything in terms of M&A. And the second question, I have to say it’s we had a debate about the name of all this M&A. I think you won in the end, but I'm very happy to. So, I'm really excited.
Jitse Groen : Just the food hero it was, right, Marcus?
Marcus Diebel: Correct. Yeah.
Jitse Groen : Well, I think we can compromise on this.
Marcus Diebel: Well, done.
Jitse Groen : We can, thank you. We can probably compromise and just call it Just Eat instead of Just Eat Takeaway.com. But I don't like this Just Eat Food Hero thing.
Marcus Diebel: Okay. Yeah.
Jitse Groen : But no, regarding M&A, well, certainly the transaction needs to close first. And, you know, it would be for Prosus to determine also this M&A strategy. It is -- Prosus is of course a very large player in the industry. They fully own iFoods, which I've always had quite some respect for. We sold the stake, not because we did not appreciate the business, but because we were a minority shareholder and we basically had no influence over that business, which was a bit unfortunate. But if that happens, then you are a financial shareholder, which is why we sold that stake. But that's an excellent business. So I can imagine that in the future, they might consider actually folding those businesses together, but that's up to them. In terms of other M&A, I think it's safe to say that we have no targets at this point in time. So it would be strange for me to speculate on something.
Marcus Diebel: No sure. Perfect. Watch the space. Thank you.
Jitse Groen : Thanks.
Operator: Your next question comes from Robert Vink from Kepler Cheuvreux. Your line is now.
Robert Vink : Yeah, thank you. I have a question. It's kind of like bigger picture. Are there certain things that you feel like, as being part of a larger company and so no longer being a publicly listed company yourself, you feel like you can, yeah, that you are enabled more to do? Are there certain parts of your strategy, like a long term type of strategy, you know, decisions like investing in the UK that you feel like it's easier to do when you're a part of Prosus than what you can actually do if you're a public company and you maybe have more things to show in terms of financials in the short term? And maybe also quickly just on your guidance, what is the head office component of your adjusted EBITDA guidance? There's quite a significant investment I think that you're guiding for, but I'm just trying to understand what is the head office component of your group guidance.
Jitse Groen : I think I'll pass the last question to Mayte if she understood it better now. Look, regarding being able to run the business, there is advantages to being private and there is advantages to being public. Now those advantages differ through time. It's not a secret that the European market for anything, e-commerce is not great at the moment. So a lot of the European e-commerce businesses are actually looking at quite a depressed value compared to the US businesses that are at all-time highs. That is not a good situation for Europe, but that's a broader picture. I think that's going on. In any event, we've IPO'd actually three times. We IPO'd Amsterdam, London, and New York. That was very helpful to the growth of our business. I think we've been able to do a lot of things being listed. And at that time, that was clearly an advantage. Being private now would give us a little bit more space in terms of being able to invest in the business. I'm quite confident of that. But again, it depends very much on what happens to the public markets if you're listed and what happens also in an individual relationship with a private player. If everybody's aligned, there's no issue. If you get differences of horizon, then obviously that's a problem, whether that's the public market or the private market.
Mayte Oosterveld : Yeah, and let me take your question on the guidance. I mean, we guide for the whole company, obviously, as you've seen on Slide 17, we expect to generate over €200 million of additional sort of fuel for that investments of €150 million. And of that €200 million, approximately €100 million will come from cost efficiencies and that will be across the organization, both on the delivery side but also on the staff and OpEx side. So that should give you some idea about how we go about that.
Robert Vink : Okay, thank you very much.
Jitse Groen : Thank you.
Operator: Thank you. Your next question comes from Sean Kealy from Panmure Liberum. Your line is now open.
Sean Kealy: Thank you and morning everybody. In a non-financial covenants there's a statement saying the Prosus doesn't intend to make a break up to implement a breakup strategy. But my question is more given the recent disposals made, are you happy with the portfolio as it is? Are there further -- are there more markets that you'd like to dispose off, going forward? And yeah it's just interesting how you think of it going forward?
Jitse Groen : Yeah, thanks for the question. Well, look, we are about creating profitable, growing food delivery businesses. That is the intent of the exercise. If we can't do that, then we would really evaluate our portfolio. Always that's what we've done in the past. That's what we're doing now. I think that's independent of who owns a business, whether it's public or private. You still would look at the same situation. Now obviously your investment appetite might differ in these environments. You might take different decisions based on that, but we'll still look at portfolio also when we're private.
Sean Kealy: Okay.
Operator: Your next question comes from Sylvia Cuneo from Deutsche Bank. Your line is now open.
Silvia Cuneo: Thanks. Good morning, everyone, and congratulations on the deal. My question is on the announced investments. Part of this is to expand the logistics coverage, as you mentioned. Can you give us a sense about how this could change the mix of delivery versus marketplace business during the year? And then an additional quick question still around investments is, if you could tell us about whether you have any initial ambitions in terms of how many subscribers you would like to reach this year or in the medium term perhaps you could comment about percentage of orders coming from subscriptions. Thank you.
Jitse Groen : Ciao Sylvia, grazie per la gui. First of all, your question around the delivery marketplace mix. Well we recognize that the growth from adjacencies will fully come from logistics, wherever we have that on the globe. So it's actually quite important for us to drive the cost of logistics down. And we've been able, I think we're looking at already one half years of decreasing the cost per order. And you see that predominantly in the UK, but we have that same dynamic in most markets. So we're trying to reduce the cost so that we can actually increase the delivery share, even in countries in which it's tougher, right? And we've spoken about this in the past, delivery in places such as Germany is very expensive because of all the regulation involved in that country versus for instance the UK where it's easier for us to reduce the cost. So we assume that that mix will change. We still think that there's quite some growth also in marketplace but clearly if you add more logistics, restaurants or logistics inventory including grocery that will grow quicker. Regarding the subscription, we have launched this now in Spain, Austria and Germany in combination with Amazon. That's doing pretty well, but we haven't launched the paid version yet that will also come this year. We've launched Plus in the UK in December. That's looking pretty good actually. We have good frequency from those customers. If you ask me conceptually where should it go? Well, I would say a vast majority of our customers needs to be a subscriber at some point. We'll take our time to get there. It's obviously an investment case for us, but this is conceptually how we think about it because obviously it's easiest for us to grow based on the consumers that we already have. It's much easier to increase the frequency than to get new customers in, especially in these markets in which we're already so large. So frequency is very important to us and we believe that Plus increases the frequency and it increases the AOV. So I think that's a good combination. And we're rolling it out now. It's a bit of a technological challenge to us. So the UK is there. I believe that Spain will be next.
Silvia Cuneo: All right, gracias.
Operator: We don't have any questions as of the moment. I'd now like to hand back over to Jitse for final remarks.
Jitse Groen : Thanks everybody. I would like to round off this Analyst and Investor Call by thanking you for participating and for all your questions. Should you have any additional questions or remarks, please reach out to our Investor Relations team. Thank you and goodbye.
Operator: Thank you for attending today's conference call. You may now disconnect. Goodbye.